Operator: Good day, ladies and gentlemen, and welcome to the first quarter 2009 Global Cash Access earnings conference call. My name is [Josh] and I'll be your coordinator for today. (Operator Instructions) I'd now like to turn the presentation over to our host for today's call, the Treasury Manager, Lisa Yi. You may proceed.
Lisa Yi: Thank you, Josh, and welcome, everyone, to GCA's first quarter 2009 earnings conference call. Joining me on today's call are Chief Executive Officer Scott Betts and Chief Financial Officer George Gresham. On today's call Scott will give an overview of the company's progress and George will provide more details on our financial performance in the first quarter. Following these comments we'll be happy to take questions. A few important items before I turn it over to Scott. First, we posted our earnings release and updated financial statement to our Investor website at www.GCAInc.com for anyone who needs access to that information. Also if during this call we use any non-GAAP financial measures or references, we will put up the appropriate GAAP financial reconciliation on our website. And finally, a replay of today's call will be posted on our website around 3:00 p.m. Pacific Time and will remain there for approximately two weeks. As we begin, let me remind everyone that today's discussion contains forward-looking statements based on the environment as we currently see it and, as such, it does include risks and uncertainties. For factors that could cause actual results to differ materially from those described in our forward-looking statements, we refer you to our SEC filings and specifically to the Form 10-K that we filed on March 10, 2009 and the risk factors set forth therein. With that, let me now hand it over to Scott.
Scott Betts: Thank you, Lisa. Welcome, everyone, and thank you for joining us today. We are very pleased to announce another solid quarter's performance for GCA. The quarter met our internal expectations and gives us confidence in our 2009 plans and guidance. We remain focused on top line growth as well as cash EPS as our primary metrics of performance. For the first quarter our revenue grew about 27% to $181.7 million. Our cash EPS from continuing operations was up $0.03 to $0.18 per share, a 20% improvement year-over-year. The key observation for the quarter is we're seeing stabilization in the underlying segment trends across our portfolio. Same-store declines have partially recovered from fourth quarter lows. Recall our guidance was predicated on the assumption that the year would be flat to Q4 '08 run rates excluding the impact of seasonality. At this juncture that is exactly what we're seeing. We still feel the segment could have some month-to-month volatility in it, but revenue for the quarter came in a bit above our internal estimates and since the end of the quarter volumes remains more or less consistent with Q1 run rates. So the good news is same-store volume is holding flat through the first four months. We are also encouraged by comments from several major operators about their expected improvements in their business trends. This is certainly welcome news. A few overall notes on the quarter: Earnings did lag top line growth, but this was primarily driven by, one, our previously announced investments in our processor conversion, our back office system and our product program. These recurring costs will impact the next two to three quarters but longer term will give us sustained cost savings and revenue opportunities moving forward. Second, we saw an increase in surcharging by our customers as they attempt to improve their operating results. As you know, while this modestly improves our earnings, it dilutes our gross margins. And lastly, the significant shift in transactions from credit card cash advance to ATMs is continuing to drive lower gross margins. We hope this trend will swing back as the economy and the general public's credit situation improves. Our customer won/loss ratio continues to be positive. This quarter we signed $1.31 in new revenue for each $1.00 lost on an annualized basis. Also, as we announced in April, one of our largest customers, Station Casinos, renewed their multi-year contract. GCA will continue to provide a full suite of products and services to all 15 of Station's gaming establishments, including the newly opened Alliante Station. In fact, in the first quarter we signed renewals expected to generate more than $55 million in annualized revenue. We believe this demonstrates our customers' confidence in GCA and our ability to deliver the best products and services to meet their needs now and in the future. It's also important to note that as a group these renewed accounts on aggregate have been re-signed without material gross margin declines. The year-over-year declines you see in gross margins are driven primarily by the acquisition and other factors mentioned previously and that George will cover in more detail in a moment. So let's move back to review the progress of the major initiatives for 2009. We'll leverage the acquisitions to continue to grow our top line across the year. We expect this top line growth to be 4% to 9%, even with our current view of an essentially flat segment for 2009. We will continue to be focused on future cost savings opportunities. Pricing pressure will remain a fact of life, and we believe that our focus on cost containment will help us deliver cash EPS growth and maintain operating margins if these pressures continue to mount. While our current cost run rate is higher than the previous year's quarter, it is down significantly from Q4. We see the opportunity to drive this even lower as non-recurring investments roll off and we're able to leverage the projects to drive further cost savings. And we'll stay focused on customer renewals. Beyond the improvement in services levels, we believe our new technology platforms will allow us to provide customers with better information about their operations as well as the markets they compete in. We have realigned our sales structure to allow more focus on the top 100 customers to assure that we have better service levels, quicker issue resolution, and to stay closer to their operations. And, of course, our new product program will be getting more visibility soon. We feel this is very significant to our customers since we believe we're the only ones in the industry to offer any product vision or road map. And lastly, we'll continue to invest in the business behind three important projects. We'll be completing the automation of our back office systems that we started in mid-2008. We're well into this project and on track to complete this in 2009. We believe this will enhance our processes, make our business analysis easier, and deliver incremental cost savings. We'll also be bringing our alternative processing platform up, which we believe will improve reliability and, importantly, meet our system requirements to support innovation. This work is also well under way and we will begin converting customers over the next few weeks. We're continuing to develop our new cashless gaming products and we'll start to bring them to market by the end of 2009. While this work is on track, you can appreciate it is being sequenced with our processor conversion. As we noted last time, we are staffed to handle these projects and the expense impact is known and baked into our guidance for 2009. So for today we're reconfirming our guidance for 2009. We anticipate revenue will grow 4% to 9% for a range of $700 million to $730 million and we anticipate that cash EPS for the year will be between $0.70 and $0.76 or up $0.04 to $0.10 versus 2008. We have also announced that our Board of Directors has approved a modest share buyback of up to $25 million, which we believe gives the company an opportunity to invest cash accretively while retaining significant capital flexibility for other opportunities. So in summary today I think the GCA story remains a very strong one. Our experience as well as recent industry comment about underlying segment trends is certainly encouraging. The company will remain focused over the next few quarters on executing and completing the projects and plans that we've outlined. They will put GCA in a stronger position to deliver more value to our customers and improve our financial performance, so even with modest recovery coming in 2010, we are very encouraged about the future. Now I'll turn it over to George for a more detailed discussion of our financial performance for the quarter.
George Gresham: Thank you, Scott. Our revenue increased in the first quarter of 2009 by about 27% compared to last year's first quarter. This increase was driven by the acquisition of Certegy Gaming Services and Cash Systems. These two acquisitions on a combined basis contributed approximately $51 million in revenue to the quarter. These increases were offset by same-store declines of about 9% compared to the first quarter of 2008. However, this was a sequential improvement from the fourth quarter decline of about 11%. During the first quarter we continued to see a migration from cash advance transactions to ATM and other transactions such as check. During the first quarter of 2008 cash advance transactions represented 14.3% of combined cash advance and ATM transactions. During the first quarter of 2009 this decreased to 12.5%. As a result, the increase in cash advance revenue on a year-over-year basis was 11% in the first quarter while ATM revenue increased about 45%. We have also seen an accelerating trend in surcharge increases at the ATM. Our check warranty product grew during the quarter by about 41% compared to the prior year quarter due to the acquisition and movement from credit to other forms of cash access. As we have seen in the last few quarters, since the completion of the 2008 acquisition gross margins have continued to decline primarily as a result of the acquired contracts having lower gross margins than the GCA contract portfolio. We believe that this factor alone results in approximately 300 basis points in margin erosion. Other factors that are adversely impacting margins on a quarter-over-quarter basis include the increase in surcharge rates at the properties. While these adjustments increase revenue and may contribute incremental margin dollars, they tend to dilute GCA's gross margin as a significant majority of the surcharge increase goes to the property as a commission. Second, the shift from credit card cash advance transactions to ATM transactions. Credit card cash advance transactions have a higher gross margin than ATM transactions. Third, the continued migration of customers to redemption devices. These devices tend to be funded and maintained by the properties, thereby lowering our operating costs; however, we also pay a higher commission rate to the properties, which result in lower gross margin. While the market remains competitive with respect to price, the decline in margins has not been driven by straight up pricing concessions on comparative deal structures. The increase in operating expense excluding depreciation and amortization and non-cash equity compensation expense was $1.9 million. The increase in operating expenses is primarily due to the integration of Certegy Gaming and Cash Systems as the expenses associated with these acquisitions were not included in the prior year period. As compared to the fourth quarter of 2008, operating expenses decreased by about $1.8 million or 8%. Excluding non-cash equity expense, operating expenses decreased about $1.3 million from the fourth quarter of 2008. This decrease is primarily due to lower employee count, lower average cost per ATM, and that the fourth quarter of last year included non-recurring acquisition-related expenses. In the first quarter of 2009 non-cash equity compensation expense was $1.8 million compared to $1.9 million in the first quarter of 2008 and was down from $2.4 million reported in the fourth quarter of 2008. We ended the quarter with 576 full-time equivalent employees, of which 345 were dedicated to booth operations. This compared with 605 total full-time equivalent employees, including 362 in booth operations, at the end of the quarter ending December 31, 2008. Excluding site-funded devices, the average number of ATMs under management during the first quarter of 2009 was approximately 1,583. This is down from the fourth quarter of 2008 due to the migration of properties to site-funded redemption devices and a focused effort on our part to remove low-volume devices from properties. More broadly speaking, operating expenses have increased as expenses due to the increased volume generated by the acquisitions of Certegy Gaming and Cash Systems. We have completed the integration and absent any unforeseen changes we expect quarterly operating expenses to continue to reflect the ongoing benefits of a fully integrated organization, including renegotiated vendor contracts. EBITDA increased 12% to $24 million compared to the first quarter of 2008. Depreciation and amortization increased on a year-over-year basis due to the acquisition of Certegy Gaming Services and Cash Systems and was about the same as the fourth quarter of 2008. During the first quarter of 2009 as compared to the first quarter of 2008 our average outstanding debt decreased by approximately $47 million to about $258 million. Additionally, the average outstanding balance on the vault cash agreement increased to approximately $369.5 million compared to $254 million in the prior year quarter. This increase in overall average interest-bearing obligations was offset by decreases in interest rates, resulting in a lower net interest expense in this quarter compared to the prior year quarter. Our effective income tax rate for the first quarter was about 38%. As many of you know, GCA is generally not in a tax-paying position due to the amortization of intangibles that are tax deductible. This is true in 2009 as it was in 2008. Our GAAP EPS before discontinued operations was $0.12 versus $0.08 in the first quarter of last year, a 50% increase. Cash EPS is a non-GAAP metric we use to reflect the fact that GCA generally is not in a taxpaying position even though the company reports tax expense for GAAP purposes. We define cash EPS as net income before discontinued operations plus tax affected deferred tax intangible amortization divided by the share count. Deferred tax asset amortization in the quarter for the purpose of this calculation was $13.1 million on a pre-tax basis and $4.9 million on an after-tax basis. While I have touched on sequential results above, let me point out that revenue increased about 3%, operating income increased about 4.5%, and pre-tax income increased 23% compared to the fourth quarter of 2008. As you would expect, we have a number of financial covenants within our debt agreement. The most relevant for this discussion is our leverage ratio. While there are a number of subtleties to the calculation of this covenant, for simplicity's sake you can consider the calculation to roughly be equivalent to our outstanding debt divided by EBITDA adjusted to remove non-cash equity compensation. As of March 31, 2009 we were required to maintain a leverage ratio of 3 times adjusted EBITDA and our actual leverage ratio was approximately 2.4 times. As we discussed during our last call, we have fully paid down the remaining outstanding balance of the revolver. We ended the quarter with approximately $70.7 million in cash on hand on a GAAP basis. As I have in past quarters, I will point out that a substantial majority of this cash is in booth operations, dedicated to settlement operations, or in non-U.S. jurisdictions and not available for immediate use. We maintain a cautious outlook for 2009 given the uncertainties in the market. As Scott mentioned, volume since March 31 continued to remain mixed and it is simply too soon to alter our full-year view. We are reiterating our 2009 guidance, which we shared with you during our fourth quarter call. As Scott mentioned, we anticipate that revenue will grow 4% to 9% to a range of $700 million to $730 million and that cash EPS will fall between $0.70 and $0.76 per share. Additionally, we expect EBITDA to be between $95 million and $101 million and EPS from continuing operations to be between $0.44 and $0.50 per share. Assumptions included in these estimates include operating expense investments in product and processing platforms of between $2 to $4 million, average 30-day LIBOR of 1.3% in effect during the period, and average outstanding balances subject to LIBOR, including amounts outstanding under the company's treasury service agreement, of $430 million, an effective tax rate for the full year of approximately 38%, cash outlay for capital expenditures are expected to approximate those disbursed in 2008, and diluted shares outstanding of approximately 77 million shares. So that concludes our prepared remarks and I'd like to now open it up for questions.
Operator: (Operator Instructions) Your first question comes from Christopher Mammone - Deutsche Bank Securities.
Christopher Mammone - Deutsche Bank Securities: You said that on same-store it was down about 9% year-over-year. Is it right to assume that it was about that level throughout the quarter from your comments, Scott?
Scott Betts: Yes. Activity throughout the quarter across the three months was about comparable each month apart from the difference in days in the month and those sorts of things.
Christopher Mammone - Deutsche Bank Securities: Right. But were there any material, I guess, anomalies with the leap year and with the Easter shift, anything to call out there?
Scott Betts: No. Well, I mean we lost a day in the quarter net, so it's because of the leap year. And you always have some mild adjustments from the calendar just because there's an extra Saturday and one last Monday, things like that. The leap year would have cost us about $1.2 to $1.5 million on a comparable basis, but nothing really major. We saw volumes improve starting around the first of the year and they remained consistent at that level through the quarter.
Christopher Mammone - Deutsche Bank Securities: And I think on the last call you guys mentioned that embedded in your guidance assumption were through a full year same-store decline of 5% to 6%. Any changes to that assumption?
George Gresham: Not at this point in time.
Christopher Mammone - Deutsche Bank Securities: And then I guess as a follow up, for the accounts or portfolios that you've lost, what are the top reasons that customers have been giving for not renewing?
Scott Betts: It's a variety of reasons. You know, some of it is cost, some of it is service related or relationship related. There's nothing particularly systemic out there.
Operator: Your next question comes from Tien-Tsin Huang - J.P. Morgan.
Tien-Tsin Huang - J.P. Morgan: I was curious if there's a way to share the same-store growth between ATM and cash advance to get a flavor for the mix shift?
Scott Betts: Yes. Well, in our next call we'll consider disclosing that, but you can think of ATM has having a same-store growth low single digits.
Tien-Tsin Huang - J.P. Morgan: Okay, so it is positive.
Scott Betts: Yes, it's positive, yes, but very low single digit. Now that would almost all be accounted for by surcharge changes, however, and then you would see a very substantial negative in credit card.
George Gresham: In the 20s, negative in the 20s.
Tien-Tsin Huang - J.P. Morgan: I know I've asked this question in different ways in the past, but I thought I'd ask this shift from cash advance to ATM, do you think this is a cyclical issue or is there perhaps some secular pressure as well? I'm just trying to get a better understanding of how that might snap back as the shape of the economy changes.
Scott Betts: I think what we're seeing is just fundamentally a behavior change by the consumer themselves, obviously. And I think this matches up with what we're seeing in the general economy. As people's credit is either used up or is getting constricted, their ability to use credit cards for cash advances has declined and we're seeing that get picked up, both in ATM and in our check service businesses. So, again, as I said in the call, we would be hopeful that that trend would reverse itself and we'd get back to more historic levels once the economy - and it's really about consumer credit rebounds, whenever that's going to be.
Tien-Tsin Huang - J.P. Morgan: And then I guess is there a rule of thumb that we can use for the impact to gross margin from the mix shift just to get a better flavor for the impact of the flowthroughs to the gross margin?
George Gresham: That impact in the quarter probably eroded margins by about 30 basis points across the entire portfolio on a quarter-over-quarter comparable basis.
Tien-Tsin Huang - J.P. Morgan: And then last one - I don't want to hog up the call - just the operating expense run rate. I know you gave a lot of numbers there, George - the clean run rate that we can step into for Q2? I know you shared the $2 to $4 million.
George Gresham: If you just compare on a sequential basis Q4 to Q1 operating expenses as disclosed in our release today and you remove the impact of equity compensation expense, there is a $1.3 million period-over-period decline. And Q1, at least as it relates to acquisition noise, would be pretty clean. Now, Scott mentioned that we're just going through this processor conversion and we have expenses in our guidance associated with that activity. We incurred some of those expenses in Q1, a relatively modest amount. We'll pick up most of those expenses in Q2 and Q3.
Operator: Your next question comes from James Keller - Banc of America Securities.
James Keller - Banc of America Securities: I calculate the RP basket in the bank facility as somewhere in the mid $30 million range. Is that about right?
George Gresham: Well, let me just say that you're probably in the ballpark, but we think we have more than enough capacity under that provision to execute the share repurchase program we just discussed.
James Keller - Banc of America Securities: By my numbers you're going to be generating significantly more than $25 million in free cash flow this year. Obviously, you pay down the revolver; there's really no pre-payable debt to speak of. Are you just going to build cash on the balance sheet with any excess cash or any other potential uses?
Scott Betts: I think we're kind of stepping through the year primarily due to continued uncertainties in the market. We've seen a modest recovery from Q4, but the data is far from clear as to whether we're in the midst of a recovery or not and so this share repurchase program we announced today's a small bite at the apple. We'll move through another quarter or two to see how the trends look at that time and then we'll come back and revisit the question - equity, debt or acquisitions.
James Keller - Banc of America Securities: I don't think you guys touched on it in the call but there was an update in an 8-K at some point, but just to follow up, the whole sort of issue with the Mississippi Gaming Control Board and the founders, that has been resolved, right?
Scott Betts: Yes. The important part to note here is they have resolved their issue with Mississippi with regards to a company - not GCA but MCA - and so from our standpoint we consider that resolved and we're moving forward.
James Keller - Banc of America Securities: And then just finally, can you give us any update on what's going on internationally, I guess both in Macau and in the U.K., just kind of what business trends are like there and if there's any sort of material changes on the regulatory front or on the sort of business prospects front?
Scott Betts: Yes, there's no material changes at this point in time. Obviously, the global economy is seeing a downturn and we see that in a lot of the geographies that we do business in. We've been trying to find a solution for the U.K. business and we're continuing to be in a beta test on that so we've seen a few issues there, but we're continuing to work on that and will continue because it's an important market for us long term. Macau, while some of the numbers are down, their actual math gaming floor, if you will, continues to grow and our business continues to grow in Macau nicely. And we're going to continue to stay focused on that geography as new casinos open up over there.
Operator: (Operator Instructions) Your next question comes from Anurag Rana - KeyBanc Capital Markets.
Anurag Rana - KeyBanc Capital Markets: I just wanted to get an idea about your volumes in April compared to the March quarter.
George Gresham: We characterize our volume through today - through yesterday, I guess, is our latest data - as somewhat mixed. We certainly wouldn't say that there's been incremental improvement on a year-over-year basis subsequent to March 31. Some days have been strong and some days have been weak, so it's just not clear and that's why we've remained somewhat cautious. So it hasn't gotten any worse; it hasn't gotten any better. It's materially consistent with Q1.
Anurag Rana - KeyBanc Capital Markets: Any color around the different geographies?
Scott Betts: Yes, just to give you a sense, if you look at geographies by state and you think about our mean same-store decline of negative 9, some geographies that did better than our mean same-store would include Arizona, Indiana, Michigan, Minnesota, Missouri, Pennsylvania, Washington, some other states with very small amounts of activity that I'll just leave off the list. And the balance of the large jurisdictions - Nevada, Atlantic City, etc. - would have had same-store numbers worse than our mean number.
Anurag Rana - KeyBanc Capital Markets: And lastly, just to get a little more color on the gross margins, when should we start expecting that number to tick up?
Scott Betts: You know, I guess just to make sure we're clear hear and, George, you can correct me if I got some of the numbers wrong, when you're looking at the gross margin situation year-over-year, we're down about 350 basis points year-over-year, you know, quarter-over-quarter. As George said in his part of the speech, 300 basis points of that are purely the mathematical dilution of the portfolios that we acquired from Certegy Gaming Services and Cash Systems, okay? So those were known, we knew those, we've been talking about those for the last three quarters. It will take awhile for us to move through those portfolios on re-signs because think about an average contract as being three years; we've essentially just completed that last transaction August of last year, so we're still very early into turning those contracts over. So I think you need to keep that in perspective that a vast majority of that 350 basis points, 300 basis points of that, are just because of the combination of portfolios. Separately, again, George commented that about 30 basis points are because of credit card cash advance, the ATM transaction. We hope that trend either stabilizes with what we're seeing in the segment trends - it's too early to tell that right now, but that certainly would be our expectation over 2009 - and as the economy and consumer credit improves we hope that that would reverse itself and start to work its way back to historical levels. Personally, I think that's going to be into 2010 when that happens. And I think you should take some comfort in what we said that on the re-signs of all the accounts that we re-signed in the first quarter, when we look at it as aggregate - and there are some plusses and some minuses, but if you look at it as aggregate - of the businesses that we re-signed, they have not been re-signed with any material degradation in the gross margin. So I don't know if that helps or not, but that's sort of the facts and I think the portfolio piece of it, which the main driver, is just going to take time as we work through those portfolios on re-sign. So that's going to be anywhere from now to three years from now as those customers come up for re-sign.
Operator: Your next question comes from David Bain - Sterne Agee.
David Bain - Sterne Agee: Just to follow up on the last question, the acquisitions came into play in the fourth quarter, correct, as well?
George Gresham: Yes, they were fully in the numbers in the fourth quarter, that's right.
David Bain - Sterne Agee: Okay, so is it just they had different pricing on ATM transactions, which you saw an increase in?
George Gresham: No, no, no. You'd see an incremental decline on a sequential basis from Q4 to Q1. Most of that incremental decline is going to be due to the other factors I've discussed. Surcharge increase, the surcharge, if you have $1 surcharge increase you might be converting $0.10 or $0.05 of that to margin, okay? So it has a very dilutive effect; although it's incremental dollars, it's dilutive to the gross margin. And then the continued migration of credit to ATM.
David Bain - Sterne Agee: And then getting to products, can we get an update on Power Cash, maybe some metrics or even a holistic operator feedback, you know, we're trying to determine traction with regard to that product out in California.
Scott Betts: Yes, we remain in one casino with Power Cash. Up to this point we have really chosen to look at the Power Cash product and we're doing some upgrades to that as well as looking at the fundamental underlying technology that really contribute to the suite of products that we had and that we debuted at G2E last year. So, again, because of the processor conversion we're sequencing that in, obviously, with that conversion, but we expect to get the new products out into the marketplace by the end of '09 and we'll have a clearer view on that probably in the next call and be able to give you more detail on the product program then.
David Bain - Sterne Agee: Okay. And do you start marketing for those now, those products, or do you wait until you have full approvals and the rest?
Scott Betts: I don't know what you consider marketing. We obviously debuted those at G2E. We are consistently and constantly getting customer feedback because it's very important to our design process, so we have had several significant conversations with a lot of our top customers around the product program, the direction, what they'd like to see in functionality and so forth, because we just want to get that input early on into the design process. So I guess if you consider that marketing then, yes, we have.
David Bain - Sterne Agee: Well, I guess moving on to when you're introducing these proprietary products at the existing locations are you working through the CFO like you would a normal sort of new contract or are you working with casino personnel? I mean, in terms of the actual sales process that you go through there, what is that going to look like?
Scott Betts: Because these products start to impact things beyond our current core cash asset services, okay, which typically tend to be handled through the CFO's office in a casino, many of these new products have opportunities for operations, they have opportunities for marketing departments, and so they're going to get a broader look within our customer organization in terms of the value of these products and I would expect we'd have more of a multi-disciplinary sell, if you will, than we have in the past.
David Bain - Sterne Agee: And just a final one from me, percentage of revenue international? I didn’t hear the actual number.
George Gresham: It's lower than 3%.
David Bain - Sterne Agee: And your guidance doesn't include any sort of additional uptick there?
George Gresham: Our guidance is all in.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a wonderful day.